Operator: Good morning. My name is Celina and I will be your operator facilitator for today. At this time, I would like to welcome everyone to Mandalay Resources Corporation’s Q3 Financial Results Conference Call. Joining us on the call is Dominic Duffy, President, Chief Executive Officer and Director of Mandalay Resources. On this call – my apologies. This call contains forward-looking statements, which reflects the current expectations or beliefs of the Company based on information currently available to the Company. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the Company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from the current expectations are disclosed under the heading Risk Factors and elsewhere in the Company's Annual Information Form dated March 31, 2021, available on the SEDAR and the Company's website. Please go ahead.
Dominic Duffy: Thank you, Celina. And good morning, everyone and thank you for joining us today. With me on the call is Nick Dwyer, Mandalay's Chief Financial Officer, and I also have Chris Davis, Mandalay's Vice President of Exploration and Operational Geology.  Mandalay released its third quarter 2021 financial results at market close yesterday. You can find our consolidated financial statements and MD&A on the Mandalay Resources website under our profile on Sedar. Overall, we are very pleased with the progress that the company has made over the first nine months of the year. Mandalay is continuing to demonstrate its ability to sustain the momentum generated in 2020 and has developed a successful operational and financial track record.  This quarter again showcases the quality of our Youle Deposit which is high gold grades and low cost profile, largely driven by the strong performance Mandalay anticipates at our consolidated 2021 saleable production excluding the positive roots felt from Cerro Bayo will be at the higher end of our 105,000 ounces to 117,000 ounces of gold equivalent production given in our guidance.  During the third quarter, Costerfield produced its highest ever amount of 18,950 gold equivalent ounces at 13 grams per ton gold and 4% antimony making it one of the highest gold grade mined in the world and the second highest in Australia to cost wrote at Fosterville.  As compared to the same period last year, Costerfield’s production grew by approximately 30%, which helped immensely in driving down cost – cash costs per gold equivalent ounce produced at $546, which was the best result since Q1 of 2016.  Before I discuss our operations in more detail, I would like to pass it on the call to Nick, who will walk us through the financial highlights of the company during the third quarter. Nick? 
Nick Dwyer: Thanks, Dominic. Mandalay delivered another excellent quarter which now marks our seventh consecutive quarter of profitability. We grew our quarterly consolidated revenue by 6% to $53 million, as compared to Q3 2020. We also had a healthy quarterly adjusted EBITDA of $25 million, which is a 48% margin. The main driving force behind this was a 13% increase in gold equivalent ounces sold at 29,509 ounces in the quarter.  It should be noted that due to ongoing global shipping issues, Costerfield’s Q3 2021 revenue declined slightly to $27 million from the 27.9 million that we laid into Q3 2020. This delayed caused – leading to cause the postponement in our September flotation concentrate shipments valued at $5.5 million, which was recognized at the 3rd of October.  We are expecting an improvement in global shipping logistics over the coming quarters and we anticipate we will caught up on our concentrate exports by year end. Mandalay’s realized gold price was lower in Q3 2021 at $18,038 per ounce compared to the $19,012 during Q3 2020. However, the decline in gold price was offset by antimony’s strong appreciation over the same period from $5,600 per tonne on average to just over $10,000 per tonne.  And currently the antimony price is around $13,000 per tonne, which is great to the company. As a direct result of lower cost and increased production at Costerfield, we did see a decrease to our consolidated cash costs, which was $825 and all-in sustaining cost is $1,135 per ounce, compared to – sorry, this is compared to $826 and $1,292 per ounce respectively in Q3 2020.  The company recorded an adjusted net income of $10.1 million or US$0.11 per share or CAD$0.14 and the consolidated net income of $9.3 million, which is US$0.10 or $0.13 Canadian in the period.  Lastly, we closed the quarter with $29.8 million in cash which was lower than the $39 million on the books in the previous quarter. This decline was expected. However it was larger than planned due to the previously mentioned global shipping delays out of Costerfield and the other expected significant impact on cash over the third quarter were also in the Costerfield where we paid our full 2020 annual tax and the 2021 to the tune of $7 million and $2.7 million respectively. We also paid $5 million for Lupin reclamation work in Q3.  However, in Q4, we expect to release the funds of approximately $3.5 million through the reduction of our security bond there, which is by compensations for the work performed in 2021. And as we do every quarter, we reduced our syndicated facility to $47.7 million through the $3.8 million debt repayment. Looking toward yearend cash balance and going forward we expect a significant list as our payment obligations normalize.  Finally, and subsequent to year – the quarter end, Mandalay filed a short form prospectus to CAD$200 million which will be balance for period of 25 months. At the moment, Mandalay does not have any plans to raise capital under this planned prospectus and the shelf operating used only for an opportunity to the company to ultimately contribute to its overall growth strategy and be accretive to shareholders.  I’d like to turn the call back to Dominic. Thank you. Dom? 
Dominic Duffy: Thanks, Nick. Turning to our operations. Our consolidated saleable production was 33,000 ounces of gold equivalent for the company, which was the highest production amount was same since the fourth quarter of 2017. As I’ve discussed earlier on the call, a large part of this strong quarter was due to the continued high-grade ore from Costerfield.  Looking ahead to the next quarter and into early next year at Costerfield, we will continue with this scheduled stoping of the upper levels of yields and the development on the lower levels of yield. And we also expect the entering into the Shepherd zone on the southern extent before year end, which is very exciting for us.  In line with the previous quarters, Björkdal generated $20.5 million in revenue and $6.8 million in adjusted EBITDA during the third quarter of 2021. Production was slightly better at 11,350 saleable gold ounces. However, it’s still below the planned production rates. The major reason for this underperformance has been the ongoing dilution issues in several stopes and most importantly in the Aurora zone.  A lot of work has been ongoing to get the dilution under control including supporting the hanging ores with long bolts at the top of the stopes. Changes in our drop out and design removing development drives from the hanging wall side of the deposits among other changes. That’s the result we have been seeing improvements with these changes that’s very encouraging.  Björkdal was able to post very strong September with the highest gold grade feed for the underground since December 2019 producing at over 1.5 grams per tonne. So it was the highest grade we have seen year-to-date. Cash and all-in sustaining cost was slightly higher at Björkdal at $1,196 and $1,440 per ounce respectively versus $1,050 and $1,337 per ounce a year ago. These increases were mainly due to higher cost of production and the relative strengthening of the Swedish kroner against the U.S. dollar. That says we have improved our unit cost since the second quarter of this year.  Looking forward, we expect to see a further decrease in these unit costs, as we ramp up the stoping in the high grade lower levels of Aurora and in case anticipate seeing minor grades lift for the remainder of 2021 and 2022.  Lastly, at Björkdal, we are currently on track to achieve our strategic objective on 1.1 million tonnes from the underground. I feel we have reached a sustainable high production tonnage rate from Björkdal. So, just going forward we will remind on dilution to control to lift the underground grades.  Moving on to Cerro Bayo, our third quarter 2021 results included 2,925 saleable gold equivalent ounces, which provided a healthy $5 million in revenue and $1.5 million in adjusted EBITDA. Last month, it was announced that Equus Mining decided to exercise its option to purchase this company Cerro Bayo from Mandalay, which owns the Cerro Bayo Mine.  The transaction is scheduled to be completed on December 1. In exchange, Mandalay will be issued Equus shares amounting to 19% holding of Equus at the date of closure. Mandalay will also maintain its 2.25% net amount of royalty on production above 50,000 ounces of gold equivalent from Cerro Bayo. In addition to our operations and financial success, we have been having a lot of exploration success over the course of 2020 and so, 2021, sorry.  So I would like to turn it over to Chris Davis to fill you on the exploration updates. Chris? 
Chris Davis : Thanks, Dom. Subsequent to quarter end, we reported on three excellent developments at Costerfield, which I would like to discuss with you. Since our last update in June on the recently discovered Shepherd site, drilling has continued with a focus on extending mineralization along the strike as well as targeted infield drilling in order to delineate and refine the structural model of Shepherd.  Announced in early October, structural continuity in Shepherd has now been established through five separate veins which was previously put up as two veining horizons. The five veins could roughly confirm to these horizons with the each horizon comprising the Shepherd and Merino veins while the western horizon contains the Suffolk, Dorper plan and Southdown veins.  The combined finding has now being extended over a strike on 500 basis and approximately 100 meters vertical extent. The Shepherd system still remains open to the north, south and at depth with the southernmost drill hole showing persistent veining with significant gold and antimony grades.  Veining to the south of Shepherd looks similar and to the finding of the Youle deposit which streamline the company in gold rich coal signing. Somehow to the southern extension include 14.8 grams per tonne gold and 11.6% antimony over true width of 1.8 meters. 24.6 grams per tonne gold and 2.3% antimony over 1.2 meters and 10 grams per tonne gold and 2.3% antimony, composite of over true width of 8.2 meters.  This composite of 8.2 meters is the widest we have discovered at Shepherd, which is – which consists of several times including a 37 centimeter down grading at 98.6 grams per tonne gold and 18.5% antimony and the 17 tonne by grading at 156 grams per tonne gold and 19.1% antimony.  Through the north, within the Merino mine, we see significant gold grades with a drop off of antimony. Some highlights include 390 grams per tonne gold over a true width of 11 centimeters and 114 grams per tonne gold over a true width of 23 centimeters.  Moving into the western Philippines, some of the standout intercepts were 155 grams per tonne gold and 10.5% antimony over true width of 11 centimeters and 67 grams per tonne gold over a true width of 25 centimeters.  Looking near-term at Shepherd, in Q4, 2021, we will be developing a new deep drill platform at the base of Youle. From this platform, we will be able to better access and test the discontinuation of the system.  Within the same expression we’ve provided an update on the cost of deep drilling program. Gold within that favorable environment at depth along the central Costerfield line, this program looks to build upon previous – as previous campaign that results within the discovery of visible gold intercepted in 2016 at depths of approximately 800 meters.  Hole CD002 was drilled underneath the Cuffley and Augusta deposits and so to for favorable geological conditions that are akin to both defining our neighboring Costerfield deposit. CD002 intercepted to is containing sub-vertical coats containing with visible gold with deep hole closures at depths 800 and 900 meters.  Overall very exciting the results. Although very exciting results the highest credit I’d say was 8 grams a tonne over 70 centimeters. These new gold bearing horizons were actually to the west of the 2016 discovery and indicates that the breadth of the mineralization at depth was approximately or is approximately 500 meters wide.  We have also reported on our drilling progress at the Browns Prospect which is located approximately two kilometers to the east of the Shepherd deposit and Youle Mine. A 17 hole drill program confirmed the presence of a promising gold system comprising two main mineralized trends exhibiting high grade gold intercepts.  The Felix trend is associated with the historic shallow Felix Brown mine and also associated with alluvial workings that played an important role in gold production during the 1890’s. Approximately, 120 meters below the historic workings, the new drilling recovered 20 grams per tonne gold over a true width of 1.7 meters, which also included 158 grams per tonne gold and over 9 centimeters and 111 grams per tonne gold over 16 centimeters.  The newly discovered Western Trend is approximately 100 meters to the west and is interpreted to these lines of surface and hence not previously discovered. A highlight at this trend is 19 grams per tonne gold and 2.4% antimony over true width of one meters.  Visible gold was present in several intercepts through both trends and mineralization can be traced over 200 meters strike length and 300 meters vertical extent. Encouragingly the significant grades found in the Browns drilling program not only represent the most surficial expression of a more extensive mineral system at depth.  The depth’s continuation at the Brown’s mineral system may extend into and be hosted within the same favorable environment that hosts the Costerfield-style mineralization of the Youle and Cuffley deposits. Thank you. That concludes the exploration updates and I’d like to hand the call back to Dom. Dom? 
Dominic Duffy: Thanks, Chris. With the Costerfield corridor hosting over 2 million ounces of equivalent gold, it’s currently looking – currently one of the highest gram gold grade producing mines in this untouched environment that will be a definitely be a factor to the expressions in 2022.  And so, just like to thank everybody. This concludes this portion of the call. I would now like to open the lines up for questions. 
Operator: [Operator Instructions] And we do have a question. It comes from the line of Lawrence Rito, a private investor. Please go ahead with your question. 
Unidentified Analyst : Hi, Dominic, I would like to thank the team upfront for turning around Mandalay Resources. I think you guys done a really great job. 
Dominic Duffy: Yes. Yes. Thanks, Lawrence. 
Unidentified Analyst : Okay. So, I guess, going forward, I wanted to know – if you had to select between two operating mines, which one would you pick, the Bjorkdal operation versus the Cerro Bayo operation as they stand today? And what their future prospects look like from an operating cost and bottom-line revenue? 
Dominic Duffy: Going forward, and definitely, there is no question which is Bjorkdal or the Cerro Bayo. Bjorkdal currently has ten years of reserves in front of it, which will grow significantly. Cerro Bayo does not have that many mine of reserves that has the stockpiles. The reason I have been to roll over the course of this year is we had very high silver prices, while when silver was at $28, $29, it was making a healthy profit.  Nothing world breaking but actual mineable reserves at Cerro Bayo there is very little. And going forward, we do anticipate seeing significant uplifts in our grade at Bjorkdal for two-fold reasons, one being mining improvements and getting the dilution done which is in the mine focus as I’ve mentioned previously our mine focus had been mixed in the tonnage rates getting a sustainable high tonnage rate.  Now we have reached a rate that can be very profitable and we just have to focus on reducing that dilution, which we are doing. But we also get grade release from the exploration results. Chris was saying getting especially down south through the northeast of the property and good continuation of the mine down deep which dialing to see a lot high grades on the south, northeast and west extension.  So, that those grade increases from high grade areas one being immediate. We are mining out towards then, so you will see that ramp up over the coming years but we are starting to see the effects of the changes we are putting into the mine from with the dilution controls. So, definitely Bjorkdal or the Cerro Bayo 
Unidentified Analyst : So, with Bjorkdal, what other areas can you improve the operating cost, because it always seems to be higher than cost of field and what about the recovery grades? Is there any improvements to the melts beyond what we’ve discussed in the prior call which is the ore sorters?
Dominic Duffy: Yes, not really. Over the five years rewind Bjorkdal we haven’t really been able to get significant recovery improvements from that operation due to variable nature way of mining. The different geology thus creates to be of its complications and when we seem to overcome one proper geology and then we move into another.  So, we are being pretty constant at that 89% to 90% recovery, which we always trying to improve on but it’s a pretty stable recovery right there. The only real improvement, significant improvements we can see in the plan would be the optical ore sorting going forward.  Forward costs, it’s mainly related to our grades if we can get our grades that’s higher and I was just passing through the plan unit cost will drop – unit cost, draw downs will drop by the actual mining cost is pretty flat by… 
Unidentified Analyst : Yes. I realize that is the – used to be the same year-to-year based to cost of operating the plant is all based on grades. What about – there was some mention that as you mine deeper, you are getting farther away from the plant. Is there a possibility putting in a conveyor system or that’s still expensive or what about automation. Some of the mines in Ontario are using a lot more automation. 
Dominic Duffy: Yes. 
Unidentified Analyst : Yes, so, hauling trucks. 
Dominic Duffy: Yes. Yes. So, that would be significant capital investment. But haulage truck automation and conveyor belts, so, conveyor belts, because of the layout of the mine there is too many bends et cetera for us and primary ramps going down. But we wouldn’t say if they are putting conveyors. Also there is quite a lot of capital investment to automate. The haulage is – it is a large part of it. But again, and also because it is a low cost operation per tonne. Our focus is more so than trying to reduce our costs and try to reduce our dilution and get the grades out. 
Unidentified Analyst : Okay. Well, very thank you much for answering my questions. 
Dominic Duffy: No problem. Thanks, Lawrence. 
Operator: Thank you. [Operator Instructions] And we do have a question. It comes from the line of Stuart McDougall of Research Capital. Please go ahead with your question. 
Stuart McDougall: Thanks, operator. Hi, Dominic. I just have a couple quick questions please. First on Costerfield. I notice that the gold recovery popped up in the quarter, as well as the processing cost. So one, if you can confirm that the two are related? And two, what you would expect going forward? Do you expect it to remain at 96% on the gold side?  And then secondly, could you just address the capital – CapEx guidance for the year relative to the year-to-date spend? And what we might expect in Q4 for the two mines? Thanks. 
Dominic Duffy: Yes. Okay. Thanks, Stuart, Firstly, on the recoveries at the Costerfield. So, we did put in the cav tube flotation so earlier in the year focusing on grabbing those fine particles of gold and the result of the impulse and that’s the main contributors for – it was anticipated we’d get those higher recoveries which we are getting.  And however, there is a slight increase in costs related to that, as well, which is raising oil cost and rising slightly in the processing. Also, the FX Aussie dollar has been strengthening as well, which does push our cost up slightly.  The second part of the question, capital, I’ll actually hand that one over to Nick if you want to answer that? 
Nick Dwyer: Yes. Sure. I think the way to look at our CapEx for the full year, we are going to be basically in broadly in guidance and that will be point at this stage and that’s just a slight overspend that at cost of field and a flat underspend at Björkdal and mainly just from additional capital development at Costerfield from finding the Shepherd zone essentially.  And so the continuum the development drives down deep there and on the Björkdal side, we are going to delay a bit of spend on the tailings from this year into next year. So, yes, in short just it should be a good guidance.
Stuart McDougall: Alright. Thanks, Nick. Thanks, Dominic. 
Dominic Duffy: No problem. Thanks, Stuart. 
Operator: Thank you. [Operator Instructions] And at this present time, no one else has registered for any questions. Please continue with your presentation or closing remarks. 
Dominic Duffy: Thank you, operator and thanks again everybody for those joining us on the call today. I look forward to updating the market on our progress and have a great day and stay safe everybody. Thanks. 
Operator: Thank you. That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.